Operator: Good morning. And welcome to the International Seaways Fourth Quarter 2020 Earnings Call. All participants will be in listen-only mode.  After today’s presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I’d now like to turn the conference over to James Small, Chief Administrative Officer and General Counsel. Please go ahead.
James Small: Thank you. Good morning, everyone. And welcome to International Seaways earnings conference call for the year ended December 31, 2020. Before we begin, I would like to start off by advising everyone on the call with us today of the following.
Lois Zabrocky: Thank you very much, James. Good morning, everyone. And thank you for joining International Seaways earnings call to discuss our fourth quarter and our full year 2020 results. 2020 was the pivotal year for International Seaways. We benefited from our earnings power and our timely chartering decisions early in the year. During the period that started out very strong and became challenging and volatile for tankers, we locked in significant cash flows by extending our fixed employment on our FSO joint venture through 2032. We transformed our capital structure in 2020. We significantly delivered our balance sheet. $We repurchase 5% of our outstanding shares and we implemented a dividend during 2020.
Jeff Pribor: Thanks, Lois, and good morning, everyone. Let’s move directly to reviewing the fourth quarter and full year results in more detail. Before turning to the deck, let me quickly summarize our consolidated results. For the full year 2020, our adjusted EBITDA was $220.1 million, our highest on record. In the fourth quarter, we had an adjusted EBITDA loss of $5 million. Both the full year and fourth quarter 2020 EBITDA numbers I’ve just cited are after the effect of a one-time non-cash charge of $16 million related to the FSO contract extension. So you may want to take that into account in your modeling. Net loss for the fourth quarter was $116.9 million or $4.18 per diluted share, compared to net income of $19 million or $0.67 per diluted share in the fourth quarter of 2029. However, again, excluding the impact of the $85.9 million impairment charge and $16 million related to the FSO extensions, net loss was $15 million or $0.52 cents per diluted share. Now, please turn to slide eight. I will first discuss the results of our business segments beginning with the Crude Tanker segment. TCEs for the Crude Tanker segment were $44 million for the quarter, compared to $93 million in the fourth quarter of last year. The decrease primarily resulted from the impact of lower average blended rates in the VLCCs Suezmax, Aframax and Panamax sectors. Turning to the Product Carriers segment. TCE revenues were $9 million for the quarter, compared to $25 million in the fourth quarter of last year. This is due to lower period-over-period average daily blended rates earned by the LR2, LR1 and MR fleets and also a decrease in MR revenue days in the fourth quarter, primarily as a result of the new delivery of four time chartered in MRs to their owners between the third quarter of 2019 and July 2020. Overall, as reflected in the chart top left, consolidated TCE revenues for the fourth quarter 2020 were $53 million, compared to $118 million in the fourth quarter 2019. The decrease was principally driven by substantially lower average daily rates earned across the crude fleet for this quarter compared to last year’s fourth quarter. Looking at the chart at the top right of the page, adjusted EBITDA was a loss of $5 million for the quarter, compared to adjusted EBITDA of $72 million in the fourth quarter 2019. And again, the increase was principally driven by lowers average daily rates and includes the effect of the one-time non-cash charge of $16 million.
Lois Zabrocky: According to our rate .
Jeff Pribor: … we have during the next 12 months. At this point, I’d like to provide cost guidance for the year for modeling purposes. For 2021 we expect regular daily OpEx, which includes all running costs, insurance, management fees and other similar and related expenses for our various classes to be as follows: for VLCCs $8,900 per day, for Suezmax $8,000, for Aframax $8,200 per day, for Panamax $7,900 and for MRs $7,600 per day, in each case, excluding any impacts attributable to COVID-19. We expect drydock and CapEx expenses to be $24.5 million and $9.9 million, respectively, for the year. For details I expect projected drydock and CapEx in off-hire days by quarter. You can refer to slide 15 in the appendix for an update. Continuing with cost guidance we expect 2021 cash interest expense will be about $24.5 million, which compared to an actual cash interest expense of $26.8 million in 2020. For the year we expect cash G&A to be in the region of $25.6 million. Finally, we expect about $21.1 million in equity income and $67.1 million for depreciation and amortization, which is about $7 million below last year. Now if you go to slide 11 for our cash bridge, moving from left to right. We began the fourth quarter with total cash and liquidity of $194 million. During the quarter, our adjusted EBITDA was a loss of $5 million. We added $12 million in equity income from the JVs and the cash distributions from JVs were $4 million from the FSO JV. We’ve expended $13 million on drydocking and CapEx, proceeds of vessel sales were $60 million, cash interest and scheduled principal payments on our debt was $6 million, finally taking into account $50 million of principal repayment, the $2 million quarterly dividend and the positive impact of working capital and other charges -- other changes of $29 million. The net result was that we ended the quarter with approximately $215 million of cash and a $40 million undrawn revolver, yielding total liquidity of $255 million. Please turn to slide 12. I’d like to briefly talk about our balance sheet. As of December 31st, we had $1.6 billion of assets, compared to $474 million of long-term debt. In addition, we had $40 million revolving credit facility that remained undrawn as of December 31st. As you can see, on the right-hand side of the slide, our net debt to total capital stands at 24%, our net loan to value of our conventional fleet stands at 33%. As footnote one tells you it is not taking account the value of our FSO. If you include that FSO’s book value the net debt to value number drops to 29%. Further, our last 12 months adjusted EBITDA was a very strong $220 million, and therefore, our net debt to last 12 months EBITDA was just 1.4 times -- 1.45 times. Before turning the call back to Lois, I’d like to briefly discuss this week’s agreement to purchase three LNG dual fuel VLCCs. As Lois mentioned, these vessels are on seven-year time charters to a market leading counterparty in AA rated Shell, that allows us to access very competitive financing as we renew our fleet at attractive levels and provide strong stable cash flows. The time charter is structured with a favorable base rate and a profit share, which provides added upside in a strengthening rate environment. Additionally, the payment is highly favorable with payments heavily weighted toward the back end. I’ve had a lot of questions already about this since the announcement. So I’d like to -- let me try to give you as much detail as I can, bear in mind that the exact terms of the contract of TNC . As I mentioned, the payment terms are -- of the newbuilding contract are back ended favorable that way. So for your CapEx modeling for 2021, you should assume $30 million in payments this year. In terms of financing, given the seven-year time charter to higher rate to Shell. There’s a myriad of opportunities to finance that we’ve been shown and are evaluating. For sure, you can expect this will have a very high advanced ratio, thereby enhancing return on equity. Also we expect a quite a low interest rate component. Revenue, of course, doesn’t start until 2023. I’m not sure that anyone is modeling 2023 numbers yet, but we’re very comfortable telling you that we project that there will be a double-digit return for this project for us. As I conclude my comments, I’d like to highlight our progress implementing our disciplined and accretive capital allocation strategy in 2020. Earlier this year, we successfully completed our sustainability-linked refinancing, which reduced our average interest rate by 3.5 percentage points and our annual interest expense by $25 million, enhanced our capital structure and enable us to begin returning capital to shareholders. In addition to utilizing our strong cash flow to further prepay debt, we’ve been able to execute on our share repurchase program and pay $6 per share of quarterly dividends, as Lois mentioned earlier. At the same time, we’ve grown our total liquidity and our net loan to value of 32.7% remains one of the lowest among our tanker peers. Regarding future share repurchases, I’d simply like to say that, at these valuations relative to our net asset value per share, we view our share price has a highly attractive value. That concludes my remarks. I’d like to now turn the call back to Lois for closing comments.
Lois Zabrocky: Thank you very much, Jeff. In 2020, we achieved solid results, generating significant EBITDA and record net income. We strengthened our capital structure and our balance sheet. We took important steps to unlock shareholder value. We ended the year by further increasing our financial strength during a weak market. With our 10-year contract extensions on the FSOs, Seaways will generate approximately $20 million annually through 2032 from these assets. During the quarter, we captured still elevated asset values by selling three unencumbered ships for $60 million in cash. This increased our total cash position and total liquidity to $215 million and $255 million, respectively. Yesterday we announced our agreement to build three dual fuel LNG VLCCs that will commence seven-year time charters with Shell. We’re pleased to support Shell’s leading efforts to significantly reduce the maritime industry’s carbon footprint. We’re excited to partner with our long-term close customer on the state-of-the-art vessels that will be 40% more efficient than 10-year old ship and 20% more efficient than modern ECO Vs. Going forward, our fleet will continue to drive earnings, combined with the strong cash flows from the remaining two favorable VLCC time charters, then the extensions of our FSO joint venture contracts bolster our contracted revenues for the next decade and beyond. We remain positive on the long-term fundamentals and the outlook for the tanker market. And we believe that Seaways is well-positioned to continue to create value for shareholders well into the future. Thank you very much, and Operator, we will now open for questions.
Operator:  The first question is from Liam Burke from B. Riley FBR. Please go ahead.
Liam Burke: Good morning, Lois.
Lois Zabrocky: Good morning.
Liam Burke: When we are looking at the acquisition of the or the orders for the three new VLCCS, is this a dramatic change from how you’re viewing the long-term management of the fleet? I mean, you get double-digit returns. Typically they would get competed away. But is this a major change in how you view managing the fleet away from the spot market?
Lois Zabrocky: Thank you, Liam. No. No. Absolutely not. I mean, as we go forward, our -- walking in of cash flows and our time charter approach is strategic in the sense that we try to go with the cycles and to take advantage of those and somewhat opportunistic, but what we love about this deal is that, the dual fuel technology and this next step in efficiency and decarbonisation is now being underwritten somewhat by the seven-year cooperation our time charter with Shell. And it’s sort of highlights what I think will be coming more important going forward where owners will benefit and customers will also benefit by working together and collaborating on as technological breakthroughs come through.
Liam Burke: Fair enough. And does it change your view on how you would like to wait the fleet between crude and product vessels?
Lois Zabrocky: No. No. It’s . It is the VLCC. It is just much more efficient. And as you will have noted, I mean, we have invested substantively in big crude in recent years. We still like Product Carriers and last year we bought an LR1. We still do appreciate the product suite. It’s -- where we think that the fundamentals will be strong going forward.
Liam Burke: Great. Thank you, Lois.
Lois Zabrocky: Thank you, Liam.
Operator: The next question is from Omar Nokta from Clarksons Platou Securities. Please go ahead.
Omar Nokta: Thank you. Hi, Lois. Hi, Jeff. Congratulations on the VLCC newbuildings.
Lois Zabrocky: Thank you, Omar.
Jeff Pribor: Thanks.
Omar Nokta: Yeah. Yeah. So I just wanted to -- just I noticed in your 10-K filing the total cost of the three ships is $290 million, which comes out to about $96 million, $97 million apiece. This seems like a fairly good deal, I’d say, considering the LNG capability. Now there were a small handful of orders last spring, done closer to like $105 million, with the LNG piece kind of being around that $12 million to $15 million and you’ve obviously paying less than that. How much of the construction costs would you say that should be rolled to the LNG component?
Lois Zabrocky: I guess what I would say, Omar, is that and we have to give credit to the customer as well. I think that the ordering of these vessels absolutely captured the down -- the lowest point in the cycle and so you have to take that into consideration. I don’t think that the additional cost for LNG has changed very much. I think it is still in that range that you were noting somewhere $13 million to $15 million for the LNG capability.
Omar Nokta: Okay. And Lois, you mentioned this a little bit just a few minutes ago, talking about the contract underwriting the LNG capability. That does -- when we when we think about the seven-year contract, do you feel that the -- it sort of covers the entire cost of the LNG component during those seven years?
Lois Zabrocky: What I will say is, really in a very holistic sense, Omar, having the time charter there, also having projected substantive upside, as well as the incredible efficiency produced by the engines. I think, holistically as a VLCC purchase, we’re going to look back and have been very happy at this. You could easily see just regular LNG-- regular VLCCs with conventional engines costing over $100 million to build.
Omar Nokta: Yeah. Yeah. Yeah. Thank you. And maybe just one more, and I guess, I know, you mentioned, Jeff, it’s TNC and there’s a lot of stuff that you can’t disclose. But just generally speaking, when we think about the profit split on those ships. How do you think that gets calculate or how can we think about it being calculated? Is it based off of the contract rate versus where spot rates are? Is it going to have an LNG price component or the spread between LNG fuel and bunker fuel? Any color you can give there?
Lois Zabrocky: That’s interesting, I think, Jeff, and I have to confer with our team, because there are a lot of elements here that that are under wraps and they will come on the water in very early 2023. So you’ll have time to model them, Omar. But what I would say is that, the consumption is very low and we are looking at that efficiency improvement over a typical V of equating to something like $7,000 per day. And so it just gives you a flavor of the possibilities, I think, with these ships.
Jeff Pribor: Yeah. Can I just add Lois, I mean, the phrase that you and I’ve used and the rest of the team many times is win-win. Our customer Shell is very committed to LNG, bunker fueling is their strategy. So they’ll be able to utilize these ships I’m sure in a very attractive way for those seven years. But the charter that we have -- the collaborative way we’ve come together in this charter is going to make it very attractive for us as well. So it’s really going to be win-win on both sides. And as Lois said, we will have some time to work on a little more detail to help you with your 2023 EBITDA net income numbers.
Omar Nokta: Yeah. I appreciate that. Yeah. Some time. Well, congrats again. Thank you.
Lois Zabrocky: Thank you, Omar.
Jeff Pribor: Thanks a lot.
Operator: The next question is from Randy Giveans from Jefferies. Please go ahead.
Randy Giveans: Hi, Lois and Jeff. How’s it gone?
Lois Zabrocky: Hey, Randy. Very good. Thanks.
Randy Giveans: All right. Sounds like it yeah. All right. So, sounds like you’ll need about $100 million in equity for the three VLCC newbuildings, maybe a little less $90 million or so, 30 million this year, right? So, how does this impact the appetite or ability for share repurchases and how do you view share repurchases going forward considering you didn’t purchase any shares when they were $15, $16, $17?
Lois Zabrocky: Okay. So, Randy, I’m going to start that, but Jeff, I want you to come back to the way that Randy started on the…
Jeff Pribor: Yeah.
Lois Zabrocky: …assuming how the…
Jeff Pribor: I will Lois.
Lois Zabrocky: Okay.
Jeff Pribor: I will. I don’t forget.
Lois Zabrocky: So, in the third quarter, Randy, what we were doing was two very material contracts. And the first thing including the FSO, right, where we really able to crystallize what we have often said we believe to be about $150 million, probably, more than $150 million in asset value on that FSO. So we were doing that in the fourth quarter that was quite material to the size of International Seaways. As well we were in the midst of the dual fuel Shell VLCC project, which, Omar noted, the total cost of those vessels. So we were in the midst of two material transactions, which makes it very challenging to go ahead and do buybacks when you’re involved in material transactions and then I’ll turn it to Jeff.
Jeff Pribor: Yeah. Hey, Randy. You should not assume that that’s $100 million of equity that’s required for this. Among the myriad of financing options we have, I mentioned that, we will have the ability to look at a much higher advanced ratio than you would in a normal acquisition. So I think you should be focusing more like numbers in the $50 million range, of which only $30 million is this year. And that segues me to the other thing that I like about this from a capital allocation point of view is, starting the year with $200 million in cash, earmarking $30 million for a fleet renewal in the form of this newbuilding contract that we discussed to have all these other benefits, gets us a long way to any fleet renewal we would want to accomplish in this part of the cycle and leaves us a lot of liquidity to pursue returning cash, there’s no other capital allocation, which we find is equally attractive, which is returning cash to shareholders, which would most likely be in the form of a share repurchase. So, we had stuff we’re working on, as Lois said, that’s just is what it is. But we’ve got the liquidity. We’ve nailed down fleet renewal. So we have a strong balance sheet even though weak market. So we remain committed to returning cash to shareholders.
Randy Giveans: Got it. All right. Sounds good. And then, I guess, for the rest of your fleet, obviously, this is a big step in reducing your average fleet age and these things. Any additional sales coming and then any other appetite for maybe expanding your fleet or replacing some of the possible sales candidates with charter ins?
Lois Zabrocky: Yeah. So, I would say, I mean, we have remaining in our fleet one older VLCC, the Tanabe, she’s -- she will conclude her $53,000 per day time charter in April and then look to monetize that ship.
Randy Giveans: Yeah.
Lois Zabrocky: And indeed during this -- the market is -- really the rates are quite low today. I think it’s -- why is that we have a strong balance sheet and then we will indeed be able to look at potentially bringing in time charters at today’s lower levels and put them in or blend them into our fleet then.
Randy Giveans: Got it. And then, I guess, briefly drilling down on Tanabe. It’s almost 20 years old, 19, 19.5 years. How does the current market value compare with scrap value?
Lois Zabrocky: It is -- the current market value we believe to be substantively higher than the recycling levels. Although, what I will say is that, recycle prices are a bit on the rise again, I think, reflecting the increase of end demand and underlying price feel.
Randy Giveans: Got it. The recycle? That’s right. All right. Sorry. Thank you so much.
Lois Zabrocky: Okay.
Randy Giveans: Have a great weekend.
Lois Zabrocky: Thank you, Randy.
Jeff Pribor: Thanks, Randy.
Operator: The next question is from Ben Nolan from Stifel. Please go ahead.
Ben Nolan: Yeah. Good morning, Lois and Jeff.
Lois Zabrocky: Good morning.
Ben Nolan: So, just to -- again, appreciating that a lot of the details behind this contract are not able to be disclosed, I wanted to just clarify something that, Jeff, you said, that you are very comfortable that the return would be double-digit. When you said that, are we talking a, like, a return on equity or return on asset, how -- any color that you can give on sort of what you meant there?
Jeff Pribor: Yeah. Ben both.
Lois Zabrocky: Yeah.
Ben Nolan: Okay. Perfect.
Jeff Pribor: Is that enough color for you?
Ben Nolan: Yes. That’s great. Thanks. So I want to also ask a little bit about, obviously, for you guys, certainly, there -- and generally in the industry this is a bit of a departure moving towards the dual fuel LNG. Well, I have a few questions here. But, first of all, you mentioned certainly they’ll comply with the 20 to 25 new regulations. The tenure of the contract runs out in 2030, when the next big sets of regulations are set to roll out. How does it fit on that basis with respect to commissions or it would be also comply with that?
Lois Zabrocky: So, Ben, one of the ways that and -- we are thinking about things and you look at you have a -- an 800 plus strong VLCC fleet. And on average the tankers are recycling at an age of 22 years. So, when you look at the entire fleet and when we give these 20% and 40% efficiency numbers, we’re using generic averages. I mean, in many cases, some of the Vs that are on the water are consuming basically double what the ships will be consuming. So we thought -- we look at it from an asset perspective of these will be the lowest emitting VLCCs on the planet. Bill, can you kind of give a little bit of -- I also want Bill just to hit on the emissions profile from a total greenhouse gases perspective and then just kind of discuss a little bit around what Ben is talking about regulations?
Bill Nugent: Well, I’m going to flip that around, Lois, if I could, I’ll do the regulations first. Thanks, Ben. Just for clarity, IMO hasn’t agreed yet on what they’re doing in 2023, let alone 2030. Although, I think everyone knows and expects that the regulations are going to become more stringent. Really, what we anticipate happening over time is that regulations for higher Co2 producing fuel burning ships, so the fuels burning very low sulfur fuel oils will be hit harder, right? And that vessels with lower emissions will be less impacted by newer emerging regulations. As the IMO and the globe tries to incentivize that move towards lower carbon producing fuels. And LNG produces 13% plus Co2 than very low sulfur and then when you combine that with a ship that is as a highly, highly developed tall form and advanced propeller, altogether kind of bells and whistles that go with that, and a very, very efficient engine, you will get to that 20% and 40% numbers of that lowest is quoted. We actually anticipate that when we get past the 2025 Design Index mark, where this ship is 8% below that target, very low sulfur, new, let’s say, VLSFO burning VLCC delivering in ‘26 or ‘27, we’d have a enormous amount of difficulty meeting that standard. So, I think, we’re coming at this two ways, a highly, highly efficient ship design, coupled with a low -- lower carbon fuel and that then results in the opportunity to continue to trade through this decade and then well into the decades that follows.
Ben Nolan: Okay. That’s very helpful. I appreciate it. And then maybe combining that a little bit with the strategic plan here, I am curious, maybe two-fold, if number one, I don’t know, if Equinor or Total maybe come and say, hey, we saw that Shell deal, we’d like to do some with you as well. Are you open to that conversation at the moment? Or maybe looking at other things in the fleet and saying just maybe we could use a few more Suezmax, we were already sort of -- we’re in on dual fuel, would we maybe want to do that even without a contract? Is there any appetite at all for that sort of thing?
Lois Zabrocky: I mean, I think, Ben, listen, we -- in at Seaways have to be like a shark, because in this business you have to keep moving and we are open for business. So we’re going to listen to our customers and respond to that. However, from a capital allocation perspective, I would go back to what Jeff said, and say that, we also feel that we are still undervalued in from our shares perspective at this point.
Ben Nolan: Okay. And maybe to the second part of that, I don’t know if -- is there or let’s sort of remove sort of the capital allocation relative to the shares part of the equation.
Lois Zabrocky: Okay. Okay.
Ben Nolan: Would you maybe -- what -- is the only -- I guess the question is, is the only way that you would possibly consider doing anything on a dual fuel basis, if you had that long-term contract to sort of give you an extra cushion of protection at least for the next however many years? Or would you even be open to entertaining the idea of doing it without a contract?
Lois Zabrocky: I would say that, Jeff and I have spoken publicly previously about the fact that we would not order dual fuel engines make it without any kind of contract. And I guess it goes maybe to the bigger question of, do you think that the whole world’s going to just go and order dual fuel with no contracts? I really think there will be a reluctance to do that and I think that bodes well for our fundamentals in the market and also for working more closely with customers, if that is the direction that they’re willing to support.
Ben Nolan: Got it. Okay. That’s helpful. I appreciate it, Lois.
Lois Zabrocky: No. Thank you.
Operator: The next question is from Greg Lewis from BTIG. Please go ahead.
Greg Lewis: Yeah. Thanks. Thank you and good morning and good afternoon everybody. I apologize, Jeff and Lois, I missed the other gentleman’s name that chimed in, but I guess, I would just…
Lois Zabrocky: Yeah.
Greg Lewis: Great. I would like to ask him around those calculations and it’s very interesting, but like, I guess, the Marshall Islands are out now talking about $100 per ton tanks and I think Trapgor has been out talking about it 250 to 300. Maybe we don’t need to go through both of those. But if we were to just say, hey, the Marshall Islands push forward this $100 per ton tanks? What -- is there any way to kind of just loosely give us the savings between an LNG versus -- the new LNG versus the more conventional? Thanks.
Lois Zabrocky: What -- I -- the gentleman is Bill Nugent. And he runs our Technical division and he’s also a naval architect and his team is watching all the regulatory developments very closely. He and I saw that this morning on Marshall Islands. But it might be a little bit premature. Bill, did you have any observations on that at this point or do you feel its early days on what per ton the cost on carbon is going to be?
Bill Nugent: It -- like it is early days. There’s lots of developments and discussions around market based measures, whether that’s Marshall Islands proposal or the trading schemes like what’s being discussed, but still not decided in the EU. And IMO is set a target for the second half of the decade to decide what that will look like, Marshall Islands is one of about two dozen proposals that’s gone out to be tabled and disgusted at IMO. So I think we’re going to have to wait and see how this evolves and I think it’s too early to say what the real impact will be.
Lois Zabrocky: Thank you, Bill.
Greg Lewis: Okay. Okay. Okay. Great. Thanks. Thank you for that. And then just, I guess, this is kind of regarding -- as we think about the evolution of the fleet. I guess I’ll just ask it this way, are other established larger oil companies looking at dual fuel? In other words, is there a market beyond Shell for -- is there a current market beyond shell for contracts or long-term contracts for LNG fuel at this point?
Lois Zabrocky: And I guess the way I would respond to that would be that, the two oil majors that you’ve really seen step out and make these investments are Total and Shell. So Total has contracted with AET and a couple of others on some dual fuel a couple of these. There’s been some Aframaxes from these two oil majors. And then it’s thins out a little bit, but I think that that’s going to remain to be seen quite frankly. As every -- each participant really in the market decide what is their go forward strategy going to be.
Greg Lewis: Okay. And then just…
Jeff Pribor: Yeah. And one thing Lois -- hey, Greg.
Lois Zabrocky: Yeah.
Jeff Pribor: Take -- Greg, take a look at the Shell press release itself beyond ours. They mentioned that this satisfies a goal for them that in 2023 50% of their LNGs that they’re using contractually on time charters will be LNG fuel. So it’s key to their strategy in this part of their business. So I think that’s worth a look.
Greg Lewis: Okay. Thank you. Thank you for that. And then just as we think about it, it’s interesting that sometimes the market hits an inflection point and just evolves quicker than we think. And I guess I’ll ask it this way, obviously, we’re comfortable where the fleet is today. But as INSW, because -- as INSW thinks about adding tonnage, whether that’s a newbuild or whether that’s, hey, maybe it’s a ves -- maybe it’s a vessel that’s on the water that’s less than a year old. Is what happening? If we know what the cost of a LNG knew that the $13 million to $15 million that we talk about, does that impact how you think about buying tonnage? And in other words, I guess, what I’m asking is, when we think about the…
Lois Zabrocky: Yeah.
Greg Lewis: Yeah. Like, I mean, it’s almost like…
Lois Zabrocky: Okay. I got your…
Greg Lewis: … one might argue that…
Lois Zabrocky: Yeah, I think what you’re getting to is, every owner has to really look carefully at buying secondhand at the newbuildings. I mean, because to your point, Bill mentioned earlier, I mean, these regulations are -- you think you’ll have a handle on the change. Every owner has to assess the ship that they -- that -- we have in our fleet. And part of that we do by all these new efficiency programs that we’re -- we have ongoing and scraping the bottoms and putting on foot paint, and you’re doing the major stuffs to make our existing ships as efficient as possible. And absolutely, for an owner as you look at buying secondhand tonnage, which of course, International Seaways, I mean, this -- Bill has over -- has built oversee for -- oversee our previous company over 50 newbuilding. So a bit serendipitous that we have him running the Technical department as we pivot back to embracing this new project. But all the other vessels we bought have been modern secondhand and for all the owners, you have to weigh the fact that modern secondhand tonnage is going to be the most efficient purchase. And also think about, well, is that the move that you want to make or do you want to invest in a step change. But in today’s world, hydrogen and ammonia, there’s a lot of conversation, but it’s -- there’s no practical solution today.
Greg Lewis: Yeah. No. It’s definitely challenging. You guys definitely are facing a lot of challenging decisions here. So, anyway, hey, thank you very much for your time and have a great weekend.
Lois Zabrocky: Thank you and I’m sorry, can’t be more definitive there.
Greg Lewis: That’ fair.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Lois Zabrocky for any closing remarks.
Lois Zabrocky: I want to thank everyone for joining International Seaways on our call. We are in the midst of a very challenging tanker market environment. However, we have financial strength and we believe that, as we look forward to attain for recovery, 2021 is going to be a very interesting year and we -- we’re super excited to share some of our recent achievements with you today and thank you again.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.